Operator: Good afternoon. My name is J.P. and I'll be your operator today for Dragonfly Energy's Second Quarter Earnings Call. This call can be accessed along with the earnings press release and SEC filings on the Investor section of the Dragonfly Energy website found at www.dragonflyenergy.com. As a reminder, this conference call is being webcast and recorded. [Operator Instructions]  During this call, the company will be making forward-looking statements based on current expectations. Actual results may differ due to factors noted in the press release and in the periodic SEC filings. Management will reference some non-GAAP financial measures. The consolidations to the nearest corresponding GAAP measure can be found in today's release on the company's website.  I'll now turn the call over to Dr. Denis Phares, Chief Executive Officer of Dragonfly.
Denis Phares: Thank you, and thank you to everyone joining us today. For those who are new to our story, Dragonfly Energy was founded in 2012 and today is a comprehensive lithium-ion battery technology company. We have operations that span the development of proprietary and patented battery cell manufacturing processes, the design and assembly of battery packs as well as the integration of these packs and other ancillary components into full energy storage systems. We market and sell these systems into a wide range of consumer and industrial market's end uses, including the recreational vehicle, marine and off-grid solar sectors.  Traditionally, these markets have relied on lead acid batteries for energy storage. However, lead is toxic, and remains a widespread problem in our environment. Dragonfly's lithium-ion battery technology provides customers with a safer, cleaner and better performing storage solution that also provides 2 to 3x more power, lasts over 10x longer, is 1/5 the weight, charges faster, and requires no maintenance. We are proud of our patent portfolio, innovations, and growth to date. We are achieving growth within our core markets, while continuing to expand our reach into new market adjacencies. The headwinds continue to face in our core markets, which are dominated by consumer discretionary spending are well documented and remain challenging. The RV industry, in particular, has experienced more severe unit declines than previously expected, with deliveries expected to fall to volumes not seen in a decade. As a result of this industry weakness, our largest RV customer has instituted a de-contenting strategy that ultimately changed our premium energy storage offering from a standard install to a dealer option.  In light of this change, we have removed all previously forecasted revenue from this customer for the remainder of the year. Although this has materially reduced our current year expectations, we do believe it is ultimately a matter of timing as this customer has not moved to any competitive product, and just as importantly, we have continued to win market share within the industry as a whole. The RV Industry Association, or RVIA, is forecasting a slow recovery through 2024, and with our new customer wins, we expect to command even more of the industry as it recovers. We are also gaining traction with large customers in adjacent markets with transportation emerging as a promising source of future growth. We have more than 10 pilot or prototype programs underway across the fleet, long-haul trucking, rail and work truck markets. And our expectation is that we will be able to announce several new contracts in these markets before year end.  Importantly, these are large lead-acid replacement market opportunities where our experience in the RV markets has enabled us to engineer full system solutions that are unique and differentiated. We believe these opportunities set the stage for additional growth in future quarters and years. More importantly, Dragonfly Energy has begun to execute on the aspect of the company that is less widely known but we expect to be far more impactful. Briefly, we are at the start of our expansion to include cell manufacturing. This is significant for a number of reasons. First, it represents the deployment of our innovative and proprietary dry electrode manufacturing process that we have perfected over the last decade. We have demonstrated our ability to scale through our recent announcement of the application of our pilot line to the production of graphite anodes. Second, our cell manufacturing is an American innovation deployed for domestic production energy storage. Such activity has been identified by the U.S. government as crucial to our energy future. Incentives, such as the IRA, and grant opportunities for the development of domestic manufacturing infrastructure are key to this support. And finally, cell manufacturing is the ultimate diversification for the company. Although we will continue to grow in our historically core markets, chemistry-agnostic and scalable cell manufacturing enables opportunities for faster growth into large developing markets such as grid storage.  I will now turn the call over to John to provide a review of our second quarter financial and operational results as well as a more detailed look for the third quarter of 2023.
John Marchetti: Thank you, Denis. In my remarks today, I will compare results from the second quarter of 2023 to the second quarter of 2022. All figures are GAAP unless otherwise noted. Dragonfly generated net sales of $19.3 million in the second quarter, in line with our $18 million to $22 million revenue guidance. Our revenue declined by $2.3 million from $21.6 million in the second quarter of last year as growth from our OEM customers was offset by declines in our direct-to-consumer business. Our OEM customers accounted for approximately 48% of sales in the quarter compared to 34% of revenue in the second quarter of 2022. OEM revenue increased by $2.1 million year-over-year as a result of increased adoption of our products by new and existing customers, several of whom have begun to design in our batteries in various RV models as original equipment or have increased purchases in response to end customer demand for safer, more efficient batteries and as a replacement for traditional lead acid batteries.  However, as Denis mentioned, given the steeper than expected downturn in the overall RV market, our largest RV OEM customer has informed us that beginning in the current quarter, it would no longer install our storage solutions as standard equipment, but rather return to offering those solutions as an option to dealers and customers. While this customer is not moving to a different solution or a competitor, we do not have visibility into the timing or size of future orders. As a result, we have decided to be conservative and will move approximately $30 million of expected revenue from our forecast from this customer through the remainder of 2023. Our direct-to-consumer business or DTC, represented approximately 52% of sales in the quarter, down from 67% of sales in the same quarter a year ago. The year-over-year decline of approximately $4.4 million was in line with expectations as demand for our products has been negatively impacted by inflation and rising interest rates. While we continue to see signs of stability, we do not expect this segment of the market to materially improve through the remainder of 2023.  Dragonfly's gross profit in the quarter was approximately $4.1 million compared to $7 million in the second quarter of 2022. The decrease in gross profit was primarily due to the change in revenue mix that included a larger percentage of lower margin OEM sales and a lower percentage of higher-margin DTC sales as well as an increase in material costs as we continue to absorb some higher-priced inventory, particularly on imported battery cells. Operating expenses in the second quarter were $12.5 million, in line with our guidance and an increase compared to $7.6 million in the second quarter of 2022. Second quarter operating expenses included increases of roughly $2 million to professional services, compliance and insurance costs as well as $1.1 million of higher sales and marketing personnel costs. In addition, severance, stock-based compensation, and materials and supply expenses were higher in the quarter relative to a year ago.  Earnings in the second quarter was within guidance with a net loss of $11.7 million or $0.25 per diluted share compared to a net loss of $1.5 million or a negative $0.04 per diluted share in the second quarter of 2022. The result in 2Q was negatively impacted primarily by the lower DTC sales, increased cost of goods sold, higher operating expenses and other increased -- other expenses due to the higher interest costs, partially offset by the fair value adjustment for warrants. Second quarter EBITDA was a negative $7.3 million in 2023 compared to a negative $0.3 million in the second quarter of 2022. Adjusted EBITDA, excluding stock-based compensation, costs associated with our offering in June, and the impact of separation agreements and changes in the fair market value of the company's warrants was a negative $5.5 million in the quarter compared to a positive $0.2 million in the same quarter a year ago.  For a reconciliation of EBITDA to adjusted EBITDA, please refer to our earnings press release. Dragonfly ended the quarter with approximately $33.0 million in cash and retains a strong financial flexibility, including access to $150 million equity line of credit. Now I'd like to turn our attention to our expectations for the third quarter of 2023. As discussed on previous calls, we expected new OEM program wins, particularly among RV customers to drive revenue growth in the second half of 2023. While we have been successful in winning these new customers with announcements like Airstream and nuCamp as a couple of examples. These new wins are not enough to offset the decision by our largest RV OEM customer to revert back to offering our storage solutions as an option rather than a standard install. Our DTC business, while stable, continues to face headwinds with customers focused on macroeconomic challenges such as rising interest rates and inflation. Given those dynamics, we expect third quarter revenue to be in the range of $16 million to $20 million. We expect gross margin to improve modestly on a sequential basis as we expect a more favorable mix, and we return to more normalized material costs following the utilization of some of the higher-priced buffer inventory. Operating expense in the September quarter are expected to be in the range of $10 million to $13 million, and we expect total other income and expense [to be an] expense in the range of $4 million to $4.5 million. We expect to report a net loss in the third quarter in the range of $10 million to $13 million or a negative $0.21 per share to a negative $0.27 per share based on approximately 48 million shares outstanding.  We are also now expecting our 2023 revenue to be in the range of $70 million to $90 million, down from our prior outlook of $112 million to $122 million. As mentioned earlier, we are moving approximately $30 million in expected revenue from the second half of the year due to the change from our largest customer. And we are also now expecting approximately $10 million less than previously expected from new customer and new program wins as the volumes of these new awards are running below prior expectations given the deeper cuts to industry units than previously forecasted.  Let me now turn the call back over to Denis to provide some additional color on operational highlights and goals for the remainder of the calendar year.
Denis Phares: Thank you, John. As mentioned earlier, Dragonfly is a comprehensive lithium-ion battery technology company with activities ranging from the development of cell manufacturing processes to the design and assembly of battery packs and integration of those packs and other ancillary components into fully integrated energy storage systems.  In addition, Dragonfly seeks to provide top-tier customer service. In June, we announced a new certified dealer program in order to provide our Battle Born batteries customer base with access to trusted dealers and installers who have been vetted by our internal technical team.  The company continues to make progress in several other development and operational areas. In July, the company was informed that would be granted a patent for the design of its GC3 battery pack which provides for more flexible custom installation solutions.  Also in the second quarter, as part of our longer-term planning for domestic cell manufacturing, Dragonfly announced a commercial offtake agreement with Ioneer, a lithium-boron producer, this agreement will enable us to strengthen and integrate our U.S. battery supply chain, while investing in the production and manufacturing of Nevada-sourced lithium. Our longer-term goal remains to enable safe, affordable micro grid storage, and that goal continues to drive our research and development work.  As such, we are pleased to report that in June, Dragonfly was informed it was being granted a new patent pertaining to our preparation and powder film deposition of pre-coated powders representing an important achievement in bringing non-flammable lithium-ion phosphate storage batteries to market in a scalable manner within a smaller manufacturing footprint, reduce time frame and at a lower cost. And I'm happy to report that in July, we achieved completion of our U.S.-based lithium battery cell pilot program. We have begun deploying dry depositing anode electrodes using our patented manufacturing process. This achievement is a critical first step to large-scale domestic battery cell production, and we anticipate to be able to deliver full cells across a variety of chemistries to prospective customers by year-end with domestic capacity of up to 150-megawatt hours of lithium-ion phosphate battery cells annually off of the 1 pilot line, which is then scalable with the addition of production lines. In summary, we remain very excited about the progress we have made to date as well as the opportunities that remain in front of us.  With that, I will turn the call over to the operator, who can open the line for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Vincent Anderson from Stifel.
Vincent Anderson: John, if we could just go through gross margin for a minute. So it looks like 3Q '23 guidance implies maybe being down a bit year-on-year. Is that basically all just slower work down of higher-cost cell inventories under the lower revenue guidance? Or is there other components to that, that we should be keeping an eye on as we move into the end of the year and into 2024?
John Marchetti: No. I think that's fair, Vince. And thanks for the question. I mean we do expect obviously, a sequential increase in that gross margin as I indicated. And part of it on a year-over-year basis is really just finishing up the use of some of those -- some of that buffer inventory that we increased as we were going through a significant portion of last year and into this and now with supply chains running a little bit more smoothly, some things like that. We've made a real effort to streamline some of that and reduce some of the buffer inventory that's there. So as we finish using up those cells, I would expect here in the not-too-distant future, those in particular, are having a bit of a negative impact, then we would expect that to be back to a more normalized level as we continue through the remainder of this year and into next.
Vincent Anderson: Okay. That's helpful. If I think about cell costs in general and maybe how they'll start working with their OEM customers, so cell supply has, has eased the key components of those cells. Those prices have come down, but are still pretty elevated. Maybe it's too early, but in your discussions with OEMs, is there an opportunity to put into these contracts, something along the lines of like an add or something of that nature whereby you can pass through some of this volatility in cell costs now that the industry is getting a bit more established, but also still quite volatile on the pricing side.
Denis Phares: Sure. I would say, Vince, I mean, for us, that variability historically has not been as big on the -- particularly on the cell -- or the cell cost side, I should say, as what we've seen -- or what we did see last year, particularly around the spikes that happened really sort of midyear last year, whether that was in response to what was going on in the Ukraine and some other things like that, when some of the commodities and material markets really like kind of sideways on everyone.  Historically, we've actually been able to bring down on a year-over-year basis the cost of our cells as we've been importing. And at least in our early negotiations for pricing on next year. I don't anticipate that it's going to be a big issue for us. If we were to see a spike like we saw in 2022. We do have that ability to have those discussions with customers and make sure that we're able to get -- still get reasonable margins on those products as we work with our OEM customers.
Operator: Okay. That's good to know. And then if I could just turn it over to Denis for a second here. First, congrats on the very quick ramp-up of the dry room testing. I'm curious what kind of volume of anodes you've produced so far? I don't know if maybe square meters is the right measurement. And then just at this stage, with just a single electrode, how thoroughly are you able to test before you have a full pilot cell in terms of estimating your manufacturing yields and how those have been trending since start-up.
Denis Phares: Sure. Thanks for that question, Vince. First of all, I want to clarify, it is not a dry room that we have completed, it's a pilot line that is meant to produce conventional electrodes and cells. So we're not using it for the solid state until we have the dry room built, which is not done yet. What we have been able to produce is anode film at -- so we estimate that 150-megawatt hours annually, which is based on the rate we were able to deposit. So we've basically been depositing continuously anodes at a rate of about 20 centimeters per second for a typical 1/3 of a meter with something like that. And it -- since we are not actually making full pouch cells off of that line, we're basically in a position where we're able to run all kinds of analysis in terms of the adhesion of the film, the thickness, the uniformity, the porosity and then our ability to cut and produce coin cells out of it. And at that point, we were -- we felt comfortable making the announcement because of the fact that everything was in line with industry standard. So the anode, of course, is one part of it. The next step is the cathode. Cathode is a little different than anode. We're talking about different particle sizes, different types of binders, and we do expect to have the cathode done at some point this quarter, and then being able to move on to complete cells right after that is -- I won't say it's trivial, but it doesn't require new innovation. Once we have those electro tapes produced then producing pouch cells is really application of known processes.
Vincent Anderson: Okay. No, it's very helpful. So just a quick -- and I'll pass it over, but just a quick follow-on to that. So you're testing out a pouch [rate] or at a coin cell level now. But it sounds like you're all ready to move to a more commercially relevant pouch form factor once, once both electrodes has been produced successfully?
Denis Phares: Yes, that's correct.
Operator: Your next question comes from the line of George Gianarikas from Canaccord.
George Gianarikas: Just so I can clarify here on your guidance for the year. You've talked about $70 million to $80 million in revenue, and that's reducing $30 million from a customer that -- I'm going to assume is Keystone and $10 million from a customer that I'm going to assume is Airstream? Is that kind of -- is that the new guidance relative to where we were in the past?
John Marchetti: So George, I would say that the $30 million from the largest customer really is all in very much one camp. But with the other $10 million, it really isn't just any 1 customer, but across that overall RV market segment, right? We're just -- we are really operating still at much lower volumes than we had originally expected. So we've won a lot of the new customers that we expected to win and we've announced a handful of those. There's a couple of others that we haven't even announced. And those customers have come in, in terms of awarding us programs that we expected to win but it's just -- the overall industry volumes are much lower than originally expected. I mean the industry came into this year predicting a return to sort of 2019 levels, which would have been let's call it somewhere in the 415,000 to maybe 420,000 [trailer range]. And now the industry is predicting something much closer to 300,000 as an industry. So as we've gone through this year, those revisions continue to be worked down. The industry body, the RV Industry Association, the RVIA, it seems to be expecting that the worst is behind it in terms of year-over-year declines, but isn't really expecting much of an uptick until we get into probably early 2024. So we're trying to be thoughtful about where we are with a lot of these customers, but the biggest driver by far is with that 1 largest customer who has moved to -- a move back to being an option rather than putting us on as a standard install.
George Gianarikas: Now is this strictly a reflection of weaker demand? Or is there also inventory in this 1 large customer?
John Marchetti: No, there's not a lot of inventory there to be fair, George. I mean this was -- we get POs on a fairly consistent basis from the customer. So it's not as if they are holding a fair bit of inventory that they need to work down to be fair. This is really a situation now where we have to have either the end customer or the dealer place that order with our batteries on as an option, and then that has to then come through to us, from the OEM.  So like as I mentioned on the call, we just thought rather than try to make an estimate of where those might be and go back to sort of earlier '22 levels where we had a little bit better visibility into what that -- what that demand might be from an add-on perspective, given the struggles in the industry right now, it just seems prudent to, to remove that guidance all together. And hopefully, a quarter from now, we'll be in a little bit of a better position, at least to have a sense of how maybe some of those dealer orders are coming through with us as a request.
George Gianarikas: Okay. Maybe just to focus next on the cash and the burn. You talked about -- I mean, last quarter, you had about a loss of $6 million in EBITDA, which I'm assuming is going to be about the same for this quarter based on your guidance and adjusted EBITDA -- and then I'm just trying to understand if you have some interest expense there. So how should we think about the trajectory of your cash, $30-something million you had at the end of the quarter and how -- where that [indiscernible] through -- go ahead, I'm sorry.
John Marchetti: Sure. Sure. So as you rightly point out, we are burning cash here until we can get revenue levels back up to where we had anticipated them being at. We do have that $150 million equity line of credit. So as needed, we can certainly tap on to that as a way to supplement the cash over this intermediate term until we get revenue back up where it needs to be. But as Denis sort of highlighted, we do have a fair number of, I think, very strong growth initiatives that are starting to really generate some traction, not just on the cell manufacturing side, but also on the revenue diversification front, particularly within that broader transportation market that he highlighted. I think we're certainly hopeful that we'll be able to announce a couple of those here before year-end, even if maybe revenue is a little bit more of a '24 event. So I think that once we get that revenue back up to where we need it to be, then, then we should be in a much more comfortable position there. But over this next quarter or 2, we do expect to continue to burn cash. And like I said, we do have that equity line of credit that we can tap into to augment it if we feel like we need to.
George Gianarikas: Was there a -- can you repeat those markets? You mentioned transportation broadly, also long-haul trucking. And I think there was 1 more that I may have missed within that.
John Marchetti: So yes, in the broader sense, we kind of throw rail into that market. We have fleets. We have long-haul trucking, and we have work trucks, things like ambulances or equipment for utility companies, things along those lines. We lump all those together in the work truck category. But those 4 broad categories, if you will, we lump all under transportation.
Q - George Gianarikas: And then maybe last question, you -- your pilot line to working this -- should be making cells, full cells at the end of this year, and you should have cells in customers' hands or prospective customers' hands to sample by the end of the calendar year.
Denis Phares: That's right, George. Conventional cells with conventional liquid electrolytes, we can deposit basically any type of anode or cathode. So we're not exclusively tied to lithium-ion phosphate off of the pilot line. So that opens up some more diverse potential for us.
George Gianarikas: Excellent. And have you -- what sort of interest have you seen for people to get their hands on those cells and test them and work with it as you ramp up production?
Denis Phares: We've had some interest in what I can say that it was interest that was not necessarily pertaining to our core markets, which was pleasant -- pleasantly surprising for us.
Operator: [Operator Instructions] Your next question comes from the line of Brian Dobson from Chardan.
Brian Dobson: So as you're looking out of the trucking market, do you think you could perhaps put some type of ballpark TAM around the, call it, trucking battery replacement market. If you do announce an agreement later this year, do we expect to see revenue from -- meaningful revenue from that agreement in 2024?
John Marchetti: Sure. Thanks, Brian. I think the short answer to your second question is we do expect meaningful revenue from that, that transportation market, certainly in 2024. And then if we're able to announce a win or 2 before year-end, we would expect those to be real contributors to growth for us next year. So we are very bullish on those opportunities and then what they hold for us here in the intermediate term. In terms of the overall TAM, I mean, it's very, very large, depending on exactly how you want to break it out. I mean, as we look at things like fleet, for example, right, there's opportunities to do a lot of different in cabin or even in some cases, in the back of these delivery vehicles for AC, for lighting or things along those lines because these are trucks that aren't allowed to idle at a delivery location or things along those lines, and they're increasingly looking at battery powered solutions to do that either from a retrofit or even from a new build perspective. In long haul, you have opportunities to do, in a way, a lot of what we're already doing in the RV market in terms of powering the house side or the cab side of the long-haul trucking market. So that as drivers either do crew rest or things along those lines, they don't have to idle trucks. They're not wasting fuel. They're not -- they're certainly getting the benefits of being able to use batteries to power the in-cabin home side of things, where today, a lot of that, if it is lead acid, those batteries typically are not performing the way they're meant to or in a lot of cases, you're running into situations where the driver is forced to idle the vehicle to power a lot of that. And increasingly, they're getting door knocks, but it's also obviously a big ROI opportunity for fleets and trucks because you don't have some of the engine wear and tear and you certainly have fuel savings that are associated with not having to idle the trucks to do that. Work trucks, it depends on kind of which category you're in, about how battery dependent they are. And in rail, there's a lot of opportunities, not just in the trains themselves, but in a lot of the yard equipment and then some of the signaling equipment as well. So these are very big TAM opportunities, but we're looking to, again, be very methodical in where we are targeting ourselves because we see it as, again, a lead-acid replacement opportunity within the majority of these markets.
Brian Dobson: Yes, that's very helpful. And you mentioned that industry associations or your contacts within the RV industry, sales volumes flattening out in the near term with the potential for a recovery in '24. I guess, what gives them the confidence that sale -- the pace of sales is going to plateau here? Is it that interest rates look to not be going much higher than current levels? Or is there something else?
John Marchetti: No. I think that really what it boils down to, Brian, is as they pull the OEMs as a whole, right, whether it's all the way down to the brand level what have you, right? They are getting a sense for how order books are shaping out. They obviously do a lot of work within the dealer community itself to get a sense of what they're seeing from end customers things along those lines. To be clear, they don't have an official '24 forecast out yet. So we'll see what it is. But the RV industry has been a cyclical industry. So there's plenty of history that I think they can pull data from as well. As I said, it's clear that this contraction this year has been more severe than they were originally forecasting. So we always do try to take some of that with a grain of salt, but they do seem to feel like with the levels they are now cutting to here that next year is likely to be a growth year. Now what the slope of that curve looks like, I think, is still very much up for debate in terms of how much growth may be there. But I do think that they feel comfortable or at this point. And I think the other important thing is, it's an industry that because of the cyclicality of it or the historic cyclicality of it, didn't go out of its way to add a lot of new capacity or a lot of things that way that now has to be dismantled. So it really is just a function of cutting back on hours, cutting back on units, and rightsizing itself that way. So I think the other side of it is it can scale up relatively quickly again on the other side of this downturn.
Brian Dobson: Yes, very good. And just a final question. As you're set to begin cell production in the United States, has the DOE been a meaningful partner in that segment. Do you think that government funding will continue to serve growth and user demand in that segment over the course of the next 12 to 18 months.
Denis Phares: Brian, I'm sorry, I didn't hear that. Were you asking if the DOE was a partner?
Brian Dobson: If the DOE was a supportive partner and it's identified that segment as a meaningful industry within --
Denis Phares: I mean, they certainly are a supporter of the goal to have domestic production of storage cells. There's no question about that. And obviously, right now, we are awaiting the new round of solicitations, and we are preparing to participate. We certainly have been in contact with some folks there. And at this point, I will say that we are hopeful that we are going to be able to call DOE a partner in the future, but it's not something that we can claim at the moment.
Operator: There are no further questions at this time. I will now turn the call back to Dr. Denis. Please continue.
Denis Phares: Well, thank you, everyone, for joining us today, and we look forward to sharing additional details with all of you in the coming quarters. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.